Operator: Good afternoon, ladies and gentlemen. Welcome to the Dream Unlimited Corp. Third Quarter 2018 Conference Call, for Wednesday, November 14th, 2018. During this call, management of Dream Unlimited Corp. will make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp's filings with securities regulators, including its latest Annual Information Form and MD&A. These filings are also available on Dream Unlimited Corp's Website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you. I'd like to welcome everybody to our third quarter conference call. Today, I'm with Pauline Alimchandani, our CFO, who will speak to our financial results. After Pauline, I'll outline the operating and value proposition of our business. Pauline?
Pauline Alimchandani: Thank you, Michael. On a standalone in the three months ended September 30th, we generated earnings of $13.6 million, down from $19.2 million in the prior year. The decrease was primarily due to lower contribution from our Western Canada Land and Housing division, offset by higher earnings from our investment in Dream Office, and the fair value gain associated with the OBCA [ph] expropriation. As part of our business planning exercise which we undertake at this time annually, we have updated our 2018 REIT forecast, and anticipate generating pretax income of just over $100 million on a standalone basis. Overall, we consider this to be a solid result considering our reduced land and housing margin, and having almost no condos in occupancy this year. We continue to generate solid earnings from our reoccurring income assets. All else equal, we view our business to be more valuable today than when we went public, in 2013, despite our lower earning from Western Canada as a result of owing more highly sought-after reoccurring income assets and an irreplaceable development portfolio in Toronto. In terms of overview by division, from our Asset Management division, total fees earned from the Dream publicly listed funds were $27.1 million year-to-date, fairly stable to $27.8 million in the prior year. The slight year-over-year decrease was due to lower acquisition activity in the period offset by an increase in days fee earning assets as in the prior year Dream Global completed the $900 million investment in the Merin Portfolio, in the Netherlands. On a year-to-date basis, net margin from Asset Management was $22.5 million, a decrease of $6.8 million due to development fees that were earned in the prior year that were not reoccurring to the same magnitude in the current period. On the overall, our Asset Management business continues to generate solid income for our business, and we believe there is a very high multiple attached to the quality of earnings generated from this business. In the third quarter, Dream Office generated net income of $41.4 million, or $8.5 million at Dream share. This quarter, Dream Office successfully secured a 15-year lease at 357 Bay Street, in Toronto, with WeWork [ph]. 357 Bay Street will be the first property that is entirely dedicated to WeWork in Canada, and will serve as their headquarters and national flagship location. As the end of the quarter, we had over $500 million invested in the Dream publicly listed funds, representing roughly 55% of Dream's total market cap. Year-to-date, we have received $14.9 million in distributions on our collective investments in Dream Office, Dream Alternative, and Dream Global. We have purchased $75.3 million in Dream Office, and $12.2 million of Dream Alternative's units year-to-date. Moving to Urban Development, our Toronto and Ottawa Urban Development division generated negative net margin in the third quarter. We anticipated marginal income from this division in 2018 as we have limited inventory [technical difficulty] available for occupancy. Our only condo project to occupy this year, O, the first building at Zibi, in Ottawa, is on track to commence occupancies by mid November, and is comprised of 71 units. Our income properties generated $1.8 million of NOI in the third quarter, in line with the prior year. Upon the expropriation of OBCA, which happened during the quarter, any operating income from this site was classified within investments in other income. Year-to-date, we have incurred approximately $37.5 million of development spend on our condo and mixed use projects, all of which is project financed. The majority of the spend relates to Riverside Square, which is 912 units, and Canary Block 16, 187 units, which will occupy in 2019, and are 99% presold. At September 30th, our condo projects consisted of 1,700 condominium units or 761 units share in various stages of preconstruction or active construction. Approximately 97% of these projects are either sold or pre-sold. In addition to these projects, we have an additional 10,000 condominium or multifamily units and three million square feet of retail and commercial space in our development pipeline, of which 4,800 units and 2.1 million square feet are at Dream share. Our pipeline includes the following projects, West Don Lands, future phases of Zibi, 31A Parliament in the Distillery District, Block 13 in the Canary District for credit, and the St. Gary [indiscernible] West Development, all of which are currently in active planning stages. With respect to OBCA, in the three months ended September 30th, we received a notice of expropriation from the City of Toronto for our 73-acre commercial site, and accordingly ownership of the property was deemed to be passed to the City of Toronto. Last Friday, the company received an offer of compensation from the city in the amount of $48 million in respect of the site pursuant to Section 25 of the Expropriations Act. The company has accepted the consideration in order to repay the outstanding first mortgage obligation of $21.9 million, but we have the right to claim additional compensation as provided for under the act. Based on the consideration offered, we reported a fair value gain of $7.6 million in the statement of earnings for the three and nine months ended September 30, and a receivable for the proceeds owing. We intend to pursue a higher amount of compensation under the act in respective OBCA. At the point of final settlement, both which the timing and outcome are uncertain; we may record additional gain in the statement of earnings. Moving to Western Canada; overall, net margin from our Western Canadian development divisions which are inclusive of land, housing, and retail and commercial development, generated net margin of $800,000, a decrease of $13 million from the prior year. The decrease was primarily due to the reduction in lot and housing occupancies in the current year, offset by $0.4 million increase in the NOI generated from our income producing properties as they approach stabilization. With continued challenging market conditions in Western Canada and increased pressures from government policies. We are closely monitoring customer demand, pricing trends and inventory supply across the division. We are seeing slower absorption rates and have adjusted our sales expectations for 2018 accordingly. We continue to secure presale commitments ahead of commencing any new development. As of today, assuming no material change in market conditions, we expect earnings from the land and housing division to increase once again from 2020 as we commence earning income from landfills and Providence, our most valuable land position in Western Canada. Dream share CMHC at Saskatoon, Regina, and Calgary market will recover more meaningfully over the next few years. Even so, we expect the proportion of income driven by Western Canada to decrease over time due to the increased diversification of our business and growth in reoccurring income generating assets, our most significant reoccurring income assets, our positions in the Dream REIT, our asset management contracts, and our income producing properties. Our reoccurring business more than supports all the costs of our operating platform. With respect to land, year-to-date, we have incurred negative net margin in the land division compared to a profit of $12.5 million in the prior year due to lower volume year. Year-to-date, the housing division has realized losses of $4.3 million at fixed overhead was not absorbed by the level of housing occupancies in the period. We currently expect to achieve approximately 740 lot sales and 20-acre sales in 2018, a change from prior guidance for 882 to 920 lot sales and 10-acre sales. The decrease in lot sales guidance is due to slower market conditions primarily in Saskatchewan. However, our revenue from increased acre sales is expected to provide a positive offset. In 2018, we expect to generate between $20 million to $25 million of net margin from our combined land and housing operations. Year-to-date, we have utilized $13.8 million of capital to repurchase shares under our NCIBs at an average price of $8.67 per share. We continue to see good value in repurchasing our own shares with available capital, maintaining our strong liquidity, position and financial flexibility and continue to be active in the market. At the end of the quarter, we had up to $166.6 million of un-drawn credit capacity compared to $133.1 million last quarter, $123.1 million at the start of the year. We expect our liquidity position to further increase at year-end as the majority of our lot sales activity is expected to occur in the fourth quarter, and we expect to repeat the cash consideration related to OBCA. All-in-all, we feel good about the diversity of our business and how we're managing our balance sheet and liquidity as our results this quarter show the impact of our capital repositioning from Western Canada to Toronto and to stable less resource intensive income generating assets. That being said, we are currently in the planning stages for Providence to come online in 2020, at which point we expect to land and housing margin to once again become a more significant contributor to our business. I will now turn the call back over to Michael.
Michael Cooper: Thanks, Pauline. Now we're right in the board to exit the large shift in our company and even bigger shift in our operating environment. From a high-level, I think they generally prime real-estate is becoming more valuable and everybody wants to own or use prime real-estate, as values have increased and everyone wants the same thing. There's tremendous pressure to reduce the cost by using less space for every activity and increase the quality, whether it is office space per person, turnover, industrial buildings or smaller homes and condominiums. As a result, Greenfield development has much increased density or put another way for any given amount of people who live in our development, less land is required. People rented apartments live in condos, townhouses, and small single-family homes. The community retail center will be smaller with the same anchors but smaller CRU tenants that they used to have, small amount of office space and commercial space will be included in the communities 20 years ago, 10,000 people need about 800 acres to create a community. Today, we wouldn't even use half of that, we are seeing attendance in office space using less space per person. But want better buildings with better amenities and I'm like a few years ago, 10 years you're actually willing to pay, so that their employees have a good experience. In the urban centers, real-estate is so valuable. Developments are mixed use to capitalism the highest value of every possible square foot. Last week CMHC produce their housing starts with the first 10 months of the year. In total, starts are down 3% nationwide with multi-family actually increasing over the prior year. However, single detached housing following a decade-old trend were 14%, down which is the lowest level since the global financial crisis. Detached housing makes up only 25% of our nationwide starts. Over the last three years, we made substantial changes to the composition of our business. We have more recurring revenue derived from management contracts. We have $500 million of shares in public companies with A Basin renewable energy that is still other income properties. In my view, these assets are worth about $1.4 billion on their own not including any development assets. The public stocks include our share Dream office which on a consolidated basis is about $700 million of office properties primarily superb properties in the Downtown core. In addition to building acquired interest and income properties, we've grown the value of our operating assets including the asset management segment from growth and managed entities and even more so from earnings fees, from developing buildings, we anticipate future growth in our asset management business from these development fees. We've also invested significantly in land in Downtown Toronto. Over the last couple of years, construction cost and development charge have increased very rapidly, the land prices are at an all-time high. The reason is that condo prices have escalated quickly, so as office rents. All our land in Toronto, which is a lot, has increased value. We've 500,000 square feet in the Canary district 235,000 square feet in Distillery, 500,000 Western lands, 500,000 adjacent to Sidewalk Labs in the water and another 400,000, 450,000 square feet at Gary among many others. These lands are all irreplaceable and very valuable. We believe that we will create very profitable and mixed use developments that will include in all or in part retail commercial condos and purpose built rental which will contribute to our recurring income. The Distillery continues to improve, we own a 50% interest in the 400 square foot property, we have recently achieved our approval to expand the Distillery onto our site at 31 Parliament, 31A Parliament; the commercial component 300,000 square feet which will increase the Distillery by 75%. This component includes 240,000 square feet of office and about 60,000 square feet of retail. We've entered into 100,000 square foot lease with an office tenant and working with couple more which will bring us to 75% pre-leased. In addition to the commercial space, we have approval to build a 49 storey residential building on top of the commercial which will commence in a couple of years. Among other developments, we are pleased with the progress with the Zibi Project in the National Capital Region. We have our first residence moving in. We had a contract with the first commercial tenant which is 60,000 square foot office use. By next year we'll have many of the public parks as well as open and we will introduce the project to the community. With 2500 residential units, 1.2 million square feet of income properties, we will create a very valuable under our community in which we will own assets that generate recurring income. Over the last few years, every level of government introduced legislation that makes it more difficult for the middle class to own their own homes. I said earlier single family homes now only 25% of all new homes with massive increase in development charges, land transfer tax, the cost of homes have increased. In addition the Federal Government introduced stress test at the beginning of the year to make sure that homeowners have an adequate cushion to manage increasing interest rates. However, with rates increasing and returning to more normal rates. This cushion still remains with medium and it made it impossible for normal people to qualify for mortgages. There is another factor leading to smaller homes and condos with immigration increasing the need replace it with the level growing the ability for people to afford purchasing places is declining. This leads to a significant increase in the need for rental housing. In 2019 will then begin construction of three rental projects, the first 750 units in the west on land in downtown Toronto about 120 units in Zibi and a similar sized building in Saskatoon. Our second apartment building and our successful right community based on our probably projects if they go well we have land to grow purpose built rental almost instantly. Western Canada's weakened recently in the Saskatoon we have to deal with dramatically increased levies. Our new sales tax would add 3% to the purchase price of a new home which the person cannot recover and of course the stress tests that very few buyers can pass. As a result single family homes in our markets are down this year, year-to-date single family homes are down an avenue by 3%, 11% in Calgary, 33% at Saskatoon and 48% Regina. Multiple starts are a random story with Calgary increase in 12%, Saskatoon increased in 27%, Edmonton down 23% and Regina down 34. What this means is that our measurement of our success based on measuring single family life is no longer meaningful measurement, multi-family retail, commercial and everything else is sold by parcels by acres. We're seeing more demand for parcels and less for single family life as function that change the market dynamics. We're working on our strategic business plan as Pauline had said which will provide further info, which will provide us the ability to get further info on our year-end call. One of the things we're looking at is how to more clearly measure our success or lack of, we're considering metrics to show how much profit we're generating per acre and how many acres we're using and the lot of less focus on loss or other types of use, just how many acres and how much profit? Hopefully, we'll be able to drive more meaningful metrics for 2019, in Western Canada, we've had success developing over 500,000 square feet of retail development on our lands, we're already over 90% leased, we will be introducing new projects as the current projects are completed, these projects help us use of land and also make development profit. As mentioned above, we're starting our second apartment building in Saskatchewan and Brighton in 2019 we hope that we will have similar success building apartments that we have had with building out retail developments. We've been trying to achieve approval of our Province land since 1997. We finally did it in 2018. The CMHC statistics -- in the Calgary is the only market with increased housing starts this year in Western Canada and our land is exceptional, so we expect very strong profits once we start. The ring road is under construction 24 hours a day, we will open in October 2020. We decided we have not properly introduced the development until the ring road is complete, once the ring road is complete we can have our parade of homes ready the day, they cut the ribbon on the highway and on people's first drive on the new road, they could take the exit right into our developments the upgraded homes. We've also received approval for Coopertown this year and are expecting many more approvals over the next nine months. Even though the market is slow, these approvals are very meaningful because it allows us to our new developments whenever we think the conditions are right. They also add value to our lands, over the last couple of years most of our holdings have been successful attaining some levels of approvals. To sum up, conditions are weak in the prairie and it's hurting our profitability. We have very good lands and we are progressing with approvals, province will contribute to our profitability quickly while we may delay investing in other communities where we already have land under development, we will continue to increase our development activities of retail and purpose no rental, profit to our acreage developed and increase our state recurring income. We have made serious changes to how we manage in Western Canada over the last three years. Between 2013 and 2015, we were net investors of Western Canada to the tune of about $42 million in total. That means taking into account all of our servicing acquisition of lands less our collection and the capital we repatriated through development income properties, we invested net $42 million more in Western Canada. However, between 2016 and the end of this year, we expect to generate about $140 million of free cash flow or conversion of development land into income properties and cash over those three years. Between 2013 and the end of 2015, we had book value of our land by $150 million to $600 million by about $150 million to a total of $600 million. In the last three years, we've reduced the book value of our land to about $575 million but we've also been able to repatriate 25% of the book all of our lands in cash, we will continue to manage our Western Canada lands to produce cash for other investments. Over the last three years, we've taken cash from Western Canada and acquired Dream office units which are basically office building in Downtown Toronto which have lots of upside and we've acquired prime development land in the [indiscernible] gone up in value, and resulting in further profits either in cash or recurring income as we develop. I hope this provides the backdrop to understand the change that we're making in the business that is leading to the ownership of higher quality assets and higher represented income producing assets. We will have more information in February once our Board approves our plan for the future. And now, we would be very happy to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question is from Dean Wilkinson of CIBC World Markets. Please go ahead.
Dean Wilkinson: Thanks. Hi, Michael, welcome back Pauline.
Pauline Alimchandani: Thank you.
Dean Wilkinson: On the relative discount for Dream, in terms of -- is it book value a more importantly now versus where you're seeing, say, Dream office and the alternative fund? Would you have a higher propensity to increase the share buybacks at Dream proper right now, or how you are thinking about that?
Michael Cooper: Propensity? I've never had a propensity.
Dean Wilkinson: Desire to do so.
Michael Cooper: Thank you. You know what, we bought $200 million worth of Dream offices instead of buying back stock, and as a result of buying $200 million of stock with $100 million of debt on it, we made a 30% return on the capital, plus we made income, and we think there's a lot more money to make. If we would have bought back stock, we would own a lot more Western Canada is producing half the profits that were three years ago. So I mean, look, I'm not a big believer, we've bought the Dream office and bought back a lot of stock, we made a fortune. We're more focused on the liquidity at Dream Unlimited, and we're more focused on having the right asset mix, and we've got all the time in the world to buy back stock. Having said that, I think we bought back about 1.6 million of shares this year, and will continue to buy back stock what we always have, but we're not selling off good assets to own. Look, we're not going to sell off an income-producing property that we think was going to be good for 10 years to buy more of something that is transactional.
Dean Wilkinson: Fair enough, that makes sense. Do you have an upper boundary of which you're comfortable going in the ownership of both Dream office and alternatives?
Michael Cooper: I think that because we're so involved in Dream alternatives, we wanted to own a lot, and we will probably increase the bid, but we're not pushing that. On Dream office, we pretty much own 25% now, and we're very happy with that, that's the important part of our future. I think Dream Unlimited could buy a few shares. They produced most of the stock that they were going to buy. So I think we will own little bit more in the future, they'll have a little less of shares outstanding, but I don't think it's going to change dramatically.
Dean Wilkinson: Okay, that's good. And Pauline, you said $100 million pretax income at the Dream standalone level. What do you think the effective tax rate you're going to be looking out for this year is going to be?
Pauline Alimchandani: I wouldn't say it would be anything, but normal, I would use the regular corporate tax rate.
Dean Wilkinson: Of 26%?
Pauline Alimchandani: Yes, 26%, yes. Some of the taxes may be deferred on some of the gains, but I think a safe assumption is to use the corporate tax rate.
Dean Wilkinson: Perfect. And then, just on the OBCA property, is that the land that they took for the mine to extension of the LRT?
Michael Cooper: Yes, I know it's for the yards of service, the -- line to the [indiscernible] Danforth trains, they need to get trains that have air conditioning.
Dean Wilkinson: The trains, okay. And how does that process, like they just came in and said here…
Michael Cooper: Well, basically what they do is [indiscernible] and they screw off they just screw you, okay. So that's what they do. So they're the process of doing that. Now let me give you an example, if we wanted to buy this land from them there's no way they would sell it to us for less than $200 million. So there you go. So what would happen is we will bring all the horses and all the man to fight them and get the best price we can. I feel really bad for all the people in Edmonton, who've been screwed over by these guys, but this is what they do. So I think it's really a joke because if you're in Milton, or Georgetown, or somewhere else in the Greater Toronto Area, it's going to cost you $500,000 to $600,000 to pay development charges on a piece of industrial land. This is 73 acres of industrial land they're saying it's worth $600,000. Think about this. There are no development charges for industrial in Toronto. So if you compare this land for Milton, and you've got the land in Milton for free at the same price of this, there you go boom.
Dean Wilkinson: The number -- I had to read it three times to make sure I got that right, like 650 an acre is -- if they had another zero behind it, I would have said, "Well, that's okay," but [indiscernible] so I guess this is just a negotiating process.
Michael Cooper: It is not a negotiating process. They don't negotiate. Then they say, "Do you have the [indiscernible] to take us on?"
Dean Wilkinson: How long does that -- just go on indefinitely and it's just -- it's the old Boston College Hail Mary, we'll get what we get out of it and you know…
Michael Cooper: We are not putting a number on our balance sheet after you're out asking. Look, the process is they took our land on August 10. They gave us an offer last Thursday. You have two choices, you can accept the cash in full for the land, or you can take the cash and disagree with them. They will pay our cost and can't disagree with them. We now put together numbers that are different than theirs, and then there might be some talking, it might go, then it can go to mediation, then it can go to a government body. And I think you could be sued from them. So we'll work it through. But how long it could be? It could a year, it could be six years.
Dean Wilkinson: It could be, yes, who knows, right so -- well, I guess the WNL. Okay. That's it. I will hand it back. Thanks everyone.
Michael Cooper: Thanks.
Operator: Thank you. Our next question is from Mark Rothschild of Canaccord. Please go ahead.
Mark Rothschild: Thank you, guys and welcome back Pauline as well.
Pauline Alimchandani: Thank you, Mark.
Mark Rothschild: In regards to the Providence, it sounds like there's some good progress there, and you mentioned 2020 is the year we expect to have some lot sales. Is that something that you have material confidence in and is it possible to give some indication based on the plans you have now. To what extent with the lot sales stay over the first couple of years and what should we expect in 2020?
Michael Cooper: So, firstly plans approved and we could start for next year but we went there to take a look at it. And with all the construction is going on you really can't get to the lands. So we didn't think there was a way to really show it to anybody. So it is deferring it for a year. So what we plan on doing is we would plan on doing some more work next year selling in the spring of 2020, so that the builders could have showrooms ready before the road opens. I think we're looking at something like 150 homes lots a year in the first year.
Mark Rothschild: And with that ramp up from there or is that the pace you'd expect for the first few years?
Michael Cooper: No, would ramp up. Everything is I'm just looking now, we could hit four hundred within 18 months by 2022 but it's pretty hard in this environment to predict but that's the goal.
Mark Rothschild: I understand. Okay, thanks. And then regards to base and obviously you're doing an expansion there. To what extent was this quarter impacted by I know there some seasonality as well but is it somewhat off as part of it off line because of the work you're doing in just one of the. Well we should look at and maybe think about it as we head into next year.
Michael Cooper: So the third quarter of June 30 to September 30 it's the only quarter where we're not open at all. I think, I don't think you're out when I don't even pay attention to it because it's not indicative anything but it's reasonable that we would have had more expenses that we had more people working to get the new drain open, so the helicopters flew in the towers and we totaled 20,000 ton building up to the top like it. It took a lot of effort but it's already go, we got our approvals on the left and as soon as we have the snow for the beavers. We're going to be able to open it up and look great. Does that complete your answer?
Mark Rothschild: It was that completed, I was going to go. No, that's good. I'm just talking. Thank you.
Pauline Alimchandani: I just want to point out Mark that if you look at net operating income it's up. The net margin does include depreciation. So as we spend capital that includes the non-cash expenses in there. So I would focus on the NOI line item for performance.
Mark Rothschild: Okay, great. Thanks a lot.
Operator: Thank you. [Operator Instructions] Our next question is from Sam Damiani of TD securities. Please go ahead.
Sam Damiani: Thanks. Good afternoon and welcome back Pauline. It's good to hear your voice.
Pauline Alimchandani: Thank you.
Sam Damiani: So, just the first one for you, so guidance for net margin $20 million to $25 million land and housing bill, does that compare to the $60 million that was achieved in 2017?
Pauline Alimchandani: 217 actual I have just over $50 million that yes, so that would be about half of 2017.
Sam Damiani: Right. Okay. Okay and for 2019 is there any outlook you have in terms of what sales at this point?
Michael Cooper: I think that what we've found this year. So what happened was we kind of get 500 housing lot sales in 2015, 2016, 2017 got better. Our expectation was that 2018 was going to get better still. And what we saw with these stress tests was it just slowed to a grind. So what that means is -- sorry, an argue wasn't distinct, everybody else shares the same view. So what it means is all the people we deal with didn't use up all of the law they expected to use in 2018. So for 2019 they have to use some lots before they buy more. That's not quite true and Brighton, but in most of markets, that's the case. So you know, it's a pretty fickle environment, but based on what we're seeing, it should be a little lighter next year in lots, although this year we are doing pretty good on parcels and we'll see if we come up with some good ideas for parcels next year as well.
Sam Damiani: Okay. And I noticed there is I think $66 million of assets held for sale. What the, what exactly is that?
Pauline Alimchandani: That's all at Tamarack retail office in Edmonton.
Sam Damiani: And what stages that sale process that right now?
Pauline Alimchandani: We are in the light stage.
Sam Damiani: Good. So just back to the lot; sorry, I noticed the sales price average, sales price was down a bit in Q3. Just curious about is market forces or purely result of the mix?
Pauline Alimchandani: We haven't sold very many lots year-to-date, but I would think it's just more lot mix as opposed to anything related to market and what we've sold here today.
Sam Damiani: Okay. Last one for me, I noticed that fee earning assets went by about $300 million quarter-over-quarter. I was curious if you could shed some light on what was behind that?
Michael Cooper: We've global industrial purchases.
Sam Damiani: All right, we closed. Okay. Thank you.
Michael Cooper: Okay. Thanks a lot.
Operator: Thank you. And our next question is from Greg Reeves [ph] of Janney Montgomery Scott. Please go ahead.
Unidentified Analyst: Yes. Hi, Michael. Hi, Pauline.
Michael Cooper: How are you?
Pauline Alimchandani: Hi.
Unidentified Analyst: I'm pretty good. The stress test, is there any political pressure you see building to roll those back since it sounds like they're very draconian?
Michael Cooper: So the way the stress test works is their view was that there was artificially low interest rates. So people may be able to afford maybe buying houses, they could afford in normal times. So the way they did it was they said, if you borrow money on your mortgage, they'll add 200 basis points to correct for that. We've had a number of increases in interest rates, but they haven't reduce the cushion as we get more than normal. So that's made it really tough. The other things happened is the market that had issues were like Vancouver and Toronto and the stress test are national, so the markets that we are in have very affordable house had not only there is much of an issue, but they got caught up in it. I think there is a political pressure and I think it's really affecting municipal government's revenue in terms of levies and land transfer tax, and I think people are getting frustrated. But it wouldn't make sense to me if they would have said if the current rate is 200 basis points below normal as they raise rates, they would reduce this cushion and if they raise rates 200 basis points would disappear but they didn't do that and I think that as rates come up that's going to be worse and worse so I mean they should change it makes no sense.
Unidentified Analyst: Right, right. Now on the expropriated [technical difficulty] property, the money that is -- do you -- you're able to get it and use it, you don't have to hold it in escrow, pending the other remedies in the legal system you choose to pursue?
Michael Cooper: No, we get to use all of that little bit of money.
Unidentified Analyst: Okay. I'm sure there are other examples of this happening is, your desire to get greater compensation, is it even playing field or your kind of paddling the canoe upstream on additional compensation?
Michael Cooper: No, no, it's -- the way the laws work is that if the government needs something for the better good and a private citizen is the private ownership, the laws are pretty favorable for the owner, and I would say that expropriations used to be much more sensitive to the fact that a private group law something for the public good. I think at this stage, we're saying what I would like to call it's kind of like a mean spiritedness within the city bureaucrats. So, the laws is still positive for the person who loses the property, it's just -- it's very difficult to actually do it with other third-party intervening helping.
Unidentified Analyst: Okay.
Michael Cooper: So we'll think we are fine.
Unidentified Analyst: Right. Thank you for answering my questions, and take care to both you.
Michael Cooper: You too. Thanks a lot.
Operator: Thank you. And we do have a question from Sam Damiani of TD Securities. Please go ahead.
Sam Damiani: Oh, thanks. Just some sort of just asked, but I just wanted to know, have you seen any precedent of the City of Toronto, taking this kind of a tactic with an expropriation before?
Michael Cooper: Yes. With somebody who said on average, and don't quote me to somebody else saying that they started a third of the value. But that's only that was somebody who's been involved in a lot that's that their typical way but I don't know what that mean. I just think that what it says, look, here's the point. The point is that somebody is running a business or somebody has a house or we have a piece of land, I do not believe that the city tries to compensate you because it's the right thing to do. I think what they tried to do is see if they can take your land for much less than it's worth. So, it's very difficult to have to go through many, many stages and time to get what's rightfully yours.
Sam Damiani: Yes, that one-third, kind of makes sense? Okay, thank you very much.
Michael Cooper: Thank you.
Operator: Thank you. And we have no further questions.
Michael Cooper: I like to thank everybody for listening in, and I think we have a lot more for you in the new year. So, thanks a lot. We look forward to chatting. Thank you.